Operator: Ladies and gentlemen, good day, and welcome to Wipro Limited Q3 FY '26 Earnings Conference Call. [Operator Instructions]. Please note that this conference is being recorded, and the duration for today's call will be for 45 minutes. I now hand the conference over to Mr. Abhishek Jain, Vice President, Corporate Treasurer and Head of Investor Relations. Thank you, and over to you, sir.
Abhishek Jain: Thank you, Yashashri. Warm welcome to our Q3 FY '26 earnings call. We'll begin the call with the business highlights and overview by Srinivas Pallia, our Chief Executive Officer and Managing Director, followed by updates on financial overview by our CFO, Aparna Iyer. We also have our CHRO Saurabh Govil, and our Chief Strategist and Technology Officer, Hari Shetty this call. Afterwards, the operator will open the bridge for Q&A with our management team. Before Srini starts, let me draw your attention to the fact that during this call, we may make certain forward-looking statements within the meaning of Private Securities Litigation Reform Act 1995. These statements are based on management's current expectations and are associated with uncertainties and risks, which may cause the actual results to differ materially from those expected. The uncertainties and risk factors are explained in our detailed filings with the SEC. Wipro does not undertake any obligation to update the forward-looking statements to reflect events and circumstances after the date of filing. The conference call will be archived and a transcript will be available on our website. With that, I would like to turn over the call to Srini.
Srinivas Pallia: Thank you, Abhishek. Good evening, and thank you for joining us today. A very happy new year to you. Let me start with the broader environment. Before walking you through our quarterly performance and how we are positioning Wipro for an AI-first world. Across our client landscape, One thing is clear: organizations are reshaping priorities as AI influences how they plan, invest and operate. In fact, AI is now a standing board level mandate led by CEOs who recognized its ability to transform business models, unlock productivity, and create lasting competitive advantage. We are also seeing the same themes continue from past quarters in our deal pipeline. Cost optimization, vendor consolidation and a clear shift towards AI-led transformation. In quarter 3, we also marked two important milestones for Wipro. In December, we completed 80 years as a company. And in October, we celebrated 25 years of being listed on the New York Stock Exchange. These milestones reflect a legacy of strong governance, value and integrity, a foundation of trust that continues to differentiate us with our clients, partners and investors. Turning to quarter 3 performance. Our IT Services sequential revenue at $2.64 billion grew 1.4% on a constant currency basis. Excluding HARMAN DTS acquisition, revenue grew 0.6% in constant currency terms. Growth was broad-based with three of our four markets and four of our five sectors reporting sequential gain. Americas 1 delivered sequential and year-on-year growth driven by strong performance in health care, consumer and LatAm. Americas 2 saw a sequential decline. Europe grew sequentially in quarter 3, led by a ramp-up of the earlier announced mega deal. We're also seeing good traction in the U.K. and Western Europe. APMEA grew sequentially and year-on-year, led by India, Middle East and Southeast Asia. PFSI continues to show strong traction with the ramp-ups and new wins. CAPCO revenue was impacted by furloughs and remained flat year-on-year. Our operating margin at 17.6% expanded 0.4% over adjusted quarter 2 margin and 0.1% year-on-year. We closed $3.3 billion in total contract value and $871 million in large deal bookings. Last quarter, I introduced Wipro Intelligence. It's a unified approach to delivering AI-powered transformation across industries. This approach is anchored on 3 strategic pillars. First, industry platforms and solutions. We are building consulting-led AI solutions across sectors. For example, platforms like PayerAI in health care, NetOxygen for lending and AutoCortex for automotive. These solutions help streamline operations, improve customer outcomes and open up new avenues for growth. Second, our delivery platforms accelerate AI adoption at scale. WINGS, part of our Wipro Intelligence, brings AI into the heart of operations from application management to infrastructure support and business process operations. Vega adds AI-driven capabilities across the development life cycle from wide coding to model tuning and data pipeline. Together, these platforms help our clients modernize faster and operate smarter. Third, the Wipro Innovation Network. This connects our labs with partners, start-ups, universities and deep tech talent around the world. This ecosystem helps us explore new technologies and build solutions for the future. We launched innovation labs in 3 cities in the U.S., Australia and the Middle East, expanding our network, growing our global footprint and strengthening our role as a trusted innovation partner. We are also partnering with client GCCs to drive transformation and turn their call centers into high-impact innovation labs. Let me now share 2 examples of large deal wins that we had, leveraging Wipro Intelligence. First, a leading global education provider in the U.K., which is expanding rapidly across markets has chosen us as a strategic partner for a multiyear transformation. The goal is to build a single secure intelligent operating model that can scale with their growth and improve stakeholder experience. Using WINGS, we will standardize core processes, embed automation and AI-driven insights and optimize costs through a global delivery model. Second, a leading U.S.-based fitness technology company has selected Wipro for a multiyear transformation to accelerate its shift to a subscription-based wellness model and support global expansion. We will use both WINGS and Vega to embed AI and automation across IT infrastructure and core functions, driving efficiency, productivity, growth and better customer experiences. These engagements highlight a clear trend. Clients are bringing us in much earlier and recognizing the step change in the way we deliver and innovate. I would now like to update you on HARMAN DTS. First, a warm welcome to all HARMAN DTS employees joining us. With the acquisition now complete, we have added engineering and AI capabilities that truly complement what we do. This strengthens our engineering global business line and helps us accelerate AI-driven product innovation for clients. The integration also opens new regions and high-growth industries and allows us to take on larger, more complex transformation programs. As our teams come together, we look forward to entering new markets, building deeper client relationships and turning innovation into long-term value. Finally, guidance for quarter 4. In quarter 4, we are projecting sequential IT services revenue growth of 0% to 2.0% in constant currency. With that, I will hand it over to Aparna for the detailed financials. Thank you. Over to you, Aparna.
Aparna Iyer: Thank you, Srini. Good evening, ladies and gentlemen, and wish you all a very, very happy new year. Let me share a quick update on the financial performance. Our IT services revenue for quarter 3 grew 1.4% sequentially in constant currency terms and 1.2% sequentially in reported currency. Revenue grew 0.2% year-on-year in reported terms, while declining 1.2% year-on-year in constant currency terms. Our constant currency revenue growth numbers included 0.8% as contribution from the HARMAN DTS acquisition that was closed in quarter 3 '26. Our operating margin for the quarter was 17.6%, an expansion of 40 basis points over the adjusted operating margin for Q2 and 10 basis points improvement on a year-on-year basis. I would also like to highlight that this is one of our best margin performance in the last several quarters. As we move to Q4, we will need to factor for incremental dilution of HARMAN DTS. That said, our endeavor, as always, will be to maintain the margins in a similar band as in the last few quarters. Adjusted net income for the quarter was INR 33.6 billion, and adjusted EPS for the quarter was at INR 3.21, an increase of 3.5% quarter-on-quarter and flat year-on-year. Moving on to our strategic market unit and sector performance. All the numbers I will share will be in constant currency. Americas grew 1.8% sequentially and grew 2.8% on a year-on-year basis. Americas 2 declined 0.8% sequentially and 5.2% on a year-on-year basis. Europe grew 3.3% sequentially and declined 4.6% on a year-on-year basis. APMEA grew 1.7% sequentially and 6.6% on a year-on-year basis. From a sector standpoint, BFSI grew 2.6% sequentially and 0.4% year-on-year. Health grew 4.2% sequentially and 1% year-on-year. Consumer grew 0.7% sequentially while declining 5.7% year-on-year. Tech and Com grew 4.2% sequentially and 3.5% on year-on-year terms. EMR declined 4.9% sequentially and 5.8% year-on-year. To give an added color, Capco was flat on a year-on-year basis in Q3. Before I move on to other financial parameters, I'd like to draw your attention to 2 specific one-off charges that we took in our P&L that also impacted our net income. These changes are not included in our -- these charges are not included in our IT Services segment margins. First is an increase of INR 302 crores towards gratuity expenses due to implementation of the new labor code. Second is regarding the restructuring exercise that was completed during the quarter and its impact is about INR 263 crores. I'd like to confirm that we've now completed the restructuring we wanted to do and do not anticipate any further charges. Our operating cash flow continued to be higher than the net income and stood at 135% of net income for quarter 3. Our gross cash, including investments is now at $6.5 billion. Our net other income in Q3 grew 15% sequentially. Accounting yield for the average investments held in India was at 7.2%. Our effective tax rate at 23.9% for Q3 '26 was better than the quarter -- same quarter last year of 24.4%. In terms of our guidance, we would like to reiterate what was stated by Srini. We expect our revenue from the IT Services business segment to be in the range of $2.635 billion to $2.688 billion. This translates to a sequential guidance of 0% to 2% in constant currency terms. Our guidance includes the incremental 2 months of revenue from HARMAN DTS. It is impacted by fewer working days in Q4 and certain delayed ramp-ups in some of the large deals that we won earlier in the year. Lastly, I'd like to share with you that in our recently concluded Board meeting, the Board of Directors have declared an interim dividend of INR 6 per share. With this payout, the cash distributed to our shareholders during the current financial year will be in excess of $1.3 billion, and we will be able to significantly exceed the minimum threshold that we had laid out in our capital allocation policy for the block ending financial year 2026. With that, I'm going to ask Yashasvi to open it up for Q&A.
Operator: [Operator Instructions] We'll take our first question from the line of Nitin Padmanabhan from Investec.
Nitin Padmanabhan: I had a couple of questions. So one is, I think this quarter, we lost almost $24 million of revenue in energy manufacturing resources. Just wanted your thoughts on that vertical. And how do you see the deal pipeline there? When do you think this can sort of turn around? The second is you alluded to some delays in ramp-ups impacting growth for next quarter to give some -- if you could give some color there. I presume this is related to the large deals. By when do you see this sort of beginning to ramp going forward? And third, where are we expecting to have the wage hike cycle. Those are the three.
Aparna Iyer: So Nitin, I'll take your second question. And then on EMR, I'll ask Srini to answer, and on attrition, we have Saurabh here, he could take that on hike -- salary hike sorry. Nitin, in terms of our large deal conversion, each deal is different. One of the significant deal wins we had in Q4 of the last financial year, Phoenix is now fully ramped up and its revenue is fully realized and it's part of our quarter 3 performance. So that's on track. Some of the other deals, given the nature of the deals that we won, we've earlier also highlighted that these deals will take a few quarters to ramp up. So it's a question of it coming in through the course of the next few quarters. And therefore, we have called it out saying that in Q4, we may not be able to realize the full impact and therefore, we're calling it out. The other lever that is playing out is typically furloughs do come back, but Q4 continues to have lower working days, which is not really sometimes offsetting for those furloughs. And therefore, we've given you the guidance we have. But these deals should continue to convert. This deal a little different. We are confident it will take some time, but it will ramp up. Srini, You want to talk on EMR and then Saurabh can talk.
Srinivas Pallia: Thanks, Aparna. Happy New year, Nitin. As far as EMR is concerned, our performance in this sector clearly has been impacted based on the macroeconomic uncertainty, we have seen some during tariff related and also some disrupted supply chain issues that we faced. However, our pipeline continues to remain strong in the sector. And essentially, the significant pipeline is around either vendor consolidation or cost takeout. And if I were to give a little bit of color to our specific segments, we have -- we see good momentum in energy in both Americas and Europe, and as far as manufacturing is concerned, we are seeing that in Europe. Also, our Capco business, which is doing some -- is also seeing some traction on the energy consulting side. So net-net, that's the situation that we have right now with the EMR, Nitin. Over to you, Saurabh.
Saurabh Govil: Salary hikes, we will take a call in the next few weeks in terms of doing it. Our intention is to look at it this quarter, but we'll confirm it in the next couple of weeks.
Nitin Padmanabhan: Perfect. That's helpful. Just one clarification. Do you think EMR should start getting back to growth sometime next year? That's the last question from my end.
Srinivas Pallia: As far as EMR concerned, Nitin, I'll just repeat that. One is the pipeline. Like I said, specifically, we have good momentum on the pipeline in energy in both Americas and Europe. And as far as the manufacturing is concerned, it's in Europe. I think our focus right now is to convert these deals and then that should drive the revenue growth for us. And we are just getting focused on winning some of those deals, Nitin.
Nitin Padmanabhan: Perfect, very helpful. Thank you so much and all the very best.
Aparna Iyer: Thank you.
Srinivas Pallia: Thank you.
Operator: Next question is from the line of Vibhor Singhal from Nuvama Equities.
Vibhor Singhal: Congrats on a solid performance. So Srini, my question was mainly on the -- basically the consumer vertical. You mentioned about the challenges in the EMR vertical. Banking has been doing well for us. In the consumer vertical, the growth was tepid in this quarter. We continue to decline on a Y-o-Y basis. How do you see the outlook in this vertical? We know this vertical also has been impacted a lot by the tariff uncertainty that has basically impacted the producers. But any -- in your conversation with the clients in terms of our interactions in the pipeline, do you see it turning the corner in coming quarters? Or do you think it will be some time before some clarity emerges in this vertical?
Srinivas Pallia: Thanks, Vibhor. If you look at our consumer sector, clearly, if you recollect, I talked about it before as well that the tariffs had an impact on this, and that is reflected in our numbers. And also, if you reflect, there was a large SAP program, which was put on hold last year by our customers. And again, the client is yet to reinitiate. And that is one of the things that is impacting our year-on-year performance as well in this particular thing in this particular market sector. However, the overall trend that we see right now is mixed here for us in consumer. Some of the wins we had earlier this year is slowly ramping up, and that should support the growth in this sector. I do not have -- from a quarter 4 perspective, whatever growth we are seeing, that's baked into our forecast number.
Vibhor Singhal: And similar thing on the -- basically [ tech ] vertical. I know it's not that big a vertical, but I think both tech and health vertical appear to be doing good. Any specific project ramp-up that we saw in this quarter, which led to this growth? Or do you think it's a growth which we can sustain in the coming quarters as well?
Aparna Iyer: Sorry, which sector did you refer to Vibhor?
Vibhor Singhal: Aparna tech and the health care verticals, both of them separately.
Aparna Iyer: In some sense, in health care, we've been consistently doing well, and we've had both in our year-on-year performance. Seasonally, obviously, we have the open enrollment season that really does improve our health performance in Q3. So that has also added to the performance. In terms of our tech and, we've continued to do well in some of our large technology players. And there is a little bit of the HARMAN acquisition numbers, which is also reflected in the overall sector's performance. And I think communications in general have done -- has been better for Europe and APMEA. That's the color I can give you.
Vibhor Singhal: Perfect. That's really helpful. But -- just one last question from my side. You mentioned about the few headwinds in Q4 that you would be facing. And if I look at our guidance, 0% to 2% in the consolidated level, and if we were to, let's say, extrapolate the 2-month incremental impact of HARMAN acquisition, the organic growth will probably fall somewhere between minus 1.5% to plus 0.5%. Is that the right understanding? And is the reason for that very much as you mentioned in your opening remarks as well.
Aparna Iyer: Vibhor for some reason, we are not able to hear it clearly. Can you just slow down the question?
Vibhor Singhal: Yes, can you hear me?
Operator: I'm sorry, his line is disconnected. We'll move on to the next question. [Operator Instructions]. Next question is from the line of Ravi Menon from Macquarie.
Ravi Menon: Congrats on a really strong margin performance this quarter. Now that you've come to sequential growth even in a seasonally weak quarter, I surprised that organically, we seem to be hinting at a slight decline possibly at the lower end of our guidance next quarter. And Capco should also be coming out of from the furloughs that it's had this quarter, right? So could you talk a bit about that? And beyond that, do you think that sequential growth is possible looking at the pipeline and the slight improvement possibly if we have on the demand environment?
Aparna Iyer: So I will ask Srini to talk through the demand environment. You know we guide based on the visibility that we have at the start of the quarter. I've shared with you that some of the furloughs that typically does come back has been partially offset by the lower working days that we are also seeing this year. And to that extent, we are seeing some softness continue, right? But that said, our endeavor would be to obviously execute the quarter better through this next 90 days, right?
Srinivas Pallia: So Ravi, if I look at it, there is no significant change in the demand environment. specifically the discretionary spend as the uncertainty continues. Second, January is the time when many of our customers will finalize their budgeting process. We'll have a much better understanding and view of where they are going to spend. But having said that, if I look at the current pipeline that we have, a significant piece of this pipeline is around cost optimization and vendor consolidation, which are the key levers for our clients. And they are using this as a lever for savings, and they want to reinvest these savings into AI capabilities and also some of the advanced transformational projects that they want to do. For us, we believe this is an opportunity for us to capitalize on this, and we'll make strategic bets in each of these sectors and markets, continue to invest in our clients to do this. From a full year visibility, like Pana said, there is uncertainty in the market and customer continue to remain in wait and watch mode. At this stage, our guidance represents best visibility we have. And if there are any further updates, we will definitely share, Ravi.
Ravi Menon: And the -- you talked about vendor consolidation and cost takeout and clients actually using those savings for transformation. Are they actually giving both to the same vendor? Or do they prefer to split that out? What that you're seeing at least in the wins that you have?
Srinivas Pallia: So Ravi, it's a mix. There are certain clients who are doing that and continuing with the current partners. And there are certain clients who are changing, and there are certain clients who are increasing the scope and using multiple partners as well. So it clearly varies from client to client.
Ravi Menon: And one last question on the HARMAN DTS. Which segments do you think this really improves your possibility of win rates?
Srinivas Pallia: So Ravi, if I understand the question, how the HARMAN DTS acquisition will help us, right?
Ravi Menon: Correct. Yes. which sectors do you expect the win rates to improve?
Srinivas Pallia: So clearly, HARMAN brings in both design to manufacturing capabilities and AI-powered product innovation. In that context, clearly, the sweet spot for a combined unit is, especially the engineering global business line that we have is the tech and com sector. That's, I think, primarily the one where we see a significant opportunity. And the other 3 sectors, I would pick are health, consumer and EMR, Ravi.
Operator: We'll take our next question from the line of Sandeep Shah from Equirus Securities.
Sandeep Shah: Just the first question is because of delay in ramp-up of deal wins of the last 2, 3 quarters, is it fair to assume if those ramps up in the first quarter next year, then the seasonal softness, which generally comes in the first quarter may not be true next year?
Aparna Iyer: So Sandeep, yes, in some sense, that will be the objective that we ramp up enough so that we can offset for some of the weakness that could arise. That said, we don't guide for Q1, but we would like to clarify that it's just delayed and some of those do take time to ramp up and confident that it will ramp up and we will keep you posted.
Sandeep Shah: Okay. Just Aparna, I wanted to understand the guidance on the margins, which you said narrow band compared to Q3 margins or earlier range?
Aparna Iyer: So you again know we don't guide for margins. You've seen our performance over the last 8 quarters. We've consistently improved, right? I think all credit to the team, we have been fairly resilient on margin, and we will continue our endeavor to keep it. But that said, we will have to invest for growth. And that's the #1 priority, right? We've acquired DTS HARMAN, and that will mean an incremental dilution to our margins that we will have to absorb. So we continue to chase and win large deals and they come with a different margin profile. And these are very important investments we'll have to make. And there will also be decisions that will have to be made on wage increases that Saurabh spoke of. A lot of moving parts. Our endeavor is going to be to make sure that we keep it in that band of 17% to 17.5%. If you recall, we had said that while we stated that band with the acquisition, we will see pressure to that. Right now, we are continuing to hold that band, which itself is a positive. But like I said, we will have to take it quarter-to-quarter. There will be some quarters where we will have to invest in our people, in our deals, in our clients and for growth. So we will make those trade-offs.
Sandeep Shah: Yes. Just last couple of questions. The deal TCV in this quarter, both on large deal and total has been slightly softer versus very strong momentum in the earlier 3 quarters. So any reason where is it the client decision-making being slowed down or it's the intense competitive pressure, which has led to some decline in the win ratio?
Aparna Iyer: Yes. Typically, like I said, some of these deals, they tend to club, right? We are contesting a lot of large deals. They are in the cycle. We are hopeful of closing them. You will continue to see the momentum on large deal wins. At $1 billion or maybe we are just shy of $100 million. That's been the normal trajectory. Obviously, in the first half, we had a few mega deal wins, 4 to be specific. We hope to win more, right? So I wouldn't read into it in terms of slower decision-making cycle or competitive pressure. I would just say that they tend to lump up. We have a lot of good deals, and we will see the momentum pick up.
Sandeep Shah: Okay. And just the last question, Aparna with the war chest of $6.1 billion, though we are distributing dividend, but is it fair to assume that buyback continues to remain one of the options in the mind to give this excess cash back to the shareholders?
Aparna Iyer: We have said that buyback will continue to be a means by which we will return cash to our shareholders. It's certainly an option on the table, and we will consider it at an appropriate time.
Sandeep Shah: Okay, thanks and all the best.
Aparna Iyer: Thank you.
Operator: Next question is from the line of Kumar Rakesh from BNP Paribas.
Kumar Rakesh: I have just one question. Srini, do you think given the kind of mix which you have, both of vertical and the capability at Wipro, you would be able to get back in line with the industry average revenue growth -- or would it make sense to just slow down your margin, get to mid-teens sort of a margin, be able to better compete with some of your peers, maybe peers as well or maybe acquire some of the companies to reset the mix. What's your thought on that?
Srinivas Pallia: Kumar, clearly, first, if you look at our inorganic strategy, it is very clearly aligned to the strategic priorities we called out. We constantly look for sectors and the markets combination in terms of where we need to invest, where we need to acquire new capabilities. And if you look at specifically HARMAN DTS, clearly, it's giving us a combination of both what I would call as capabilities and also a few new markets that they are already in. So we will -- we continue to look at opportunities for us, Kumar, as we continue to move forward. Our strategy is both growing our organic and inorganic and continue to invest in inorganic. And you are right, we do have cash. And as far as that is concerned, it is an opportunity for us to look at the market, scan the market and do the right investment that makes it a win-win for us.
Operator: Next question is from the line of Rishi Jhunjhunwala from IIFL.
Rishi Jhunjhunwala: Just wanted to understand ex of HARMAN doesn't look like there would be much of a sequential growth in 4Q and 1Q, as we were discussing earlier in the call, historically has had some weak seasonality. I noticed a pretty sharp increase in our overall headcount in this quarter. So just wanted to understand, given the outlook for the next couple of quarters, what is driving this? And how do we read that?
Saurabh Govil: The headcount for this quarter is primarily driven from 2 things. One is the acquisition, DTS acquisition. And second is one of the large deals in Phoenix, we had done as reding. I think when we ramped up the deal. So that's been the reason for seeing the ramp-up in this quarter. Otherwise, from a hiring standpoint and supply side, I don't see a challenge. Attrition has been at 2 percentage low for the quarter, trending the same in the next quarter. We are going to go to the campuses again. We had taken a bit of a hiatus in this quarter -- next quarter. So from a supply side, utilization is looking up net of the furloughs, which we -- net of the leaves which people have taken. So we are fairly confident in the headcount supply side to manage the demand.
Rishi Jhunjhunwala: Understood, sir. The second question is just wanted to understand this restructuring cost that we have booked in our financials. Is it in the same nature as what we did in 1Q? And if not, if you can give some color around that?
Saurabh Govil: The restructuring basically has pivoted on obsolete skill and primarily in 2 areas. One is in Europe, where we have a tough labor laws and second is in Capco. These are the 2 big areas that we did that, similar to what we have done in Q1.
Rishi Jhunjhunwala: Understood. And just last thing, there was a bookkeeping question. There is a spike in D&A in this quarter. Any particular reason? And is that a normalized level going forward as well?
Aparna Iyer: We have taken a provision for bad debt charge. And I think that's the line item that will show an increase. That's in the usual course of business. You should see that go off starting next quarter.
Rishi Jhunjhunwala: Aparna, I was asking about depreciation and amortization?
Aparna Iyer: Okay. And typically, we do assess the intangibles every year. And if -- based on the expected forecast, et cetera, sometimes we tend to accelerate such amortization. In this quarter, we did accelerate some amortization towards one of the earlier acquisitions, and that's reflected. And that should also normalize. However, we will have an increased amortization charge coming in for the DTS HARMAN. So yes, you should wait for the next quarter to get some more normalized then...
Operator: Next question is from the line of Kawaljeet Saluja from Kotak Securities.
Kawaljeet Saluja: I had just a couple of questions for you. First is that at $6.5 billion, it seems that you have plenty of excess cash. So how do you intend to flush this excess cash out? Would it be through dividends or is buyback on the cards? And if buyback is on the cards, then what are the considerations set required to move towards that path? That's the first question.
Aparna Iyer: Okay. You're right. We did note that we've been having excess cash. And as a result of that, last year, we had increased our capital allocation. And we've said that we would start increasing our dividend payout. We did that. We paid out INR 6 in the last financial year. This year, we've almost paid INR 11 per share, which is about $1.3 billion. We should opt -- nearly account for like -- if I had to just annualized our YTD EPS is about 88%, 89% of that. So at least what the increased dividend is doing is we're not adding to the excess cash and leaving enough for watches for whatever acquisitions and organic investments we need to make. Is buyback an option to still consider in terms of returning excess cash to shareholders? Indeed, it is. And what are the considerations for that, we will have a discussion with the board on that, and we will come back considerations include whether we have enough net cash available in order to pursue the investments we need, and we will keep the market posted, Kawal. But other statutory considerations are quite in the place for buyback.
Kawaljeet Saluja: Can you repeat that last part again? I missed it.
Aparna Iyer: I said there are some statutory considerations that you can't do a buyback within 12 months. You can't do it if there is a merger pending for NCLT, et cetera. None of that is -- I mean, all of that is conducive, Kawal, for us..
Kawaljeet Saluja: So let's say, if you had to theoretically decide to do a buyback, today, you can do that. Whereas in the past, there was an NCLT process or merger, which would have acted as an impediment -- there is no such impediment. I mean you can do that as and when you feel it's the right time. Is that the way to look at it?
Aparna Iyer: Yes. Absolutely.
Kawaljeet Saluja: Noted. The second question is for you and Srini. Let's say, if those 2 mega deal ramp-ups were not delayed, then what would the guidance have been for, let's say, the March quarter? Any way to detail it out either quantitatively, which may be difficult or even qualitatively, that will be very helpful to understand the growth trajectory.
Aparna Iyer: Obviously, we can't talk about it quantitatively, Kawal. And qualitatively, like I said, it's only delayed. these ramp-ups should happen. And each deal is different in its nature, right? For example, something like Phoenix, which was entirely net new and fully where there was a clear go-live date and readiness, we've been able to do that, and that's fully into our revenue starting Q3. So that played out perfectly to plan, right? Now in some of the other larger deals that -- or mega deals that we could be winning in terms of vendor consolidation, these deals typically have both an element of renewal and new. Obviously, the renewal is fully in and that continues, and we're not seeing any changes in terms of the expectations. In case of the new, the element of new, some of these things are taking longer, either due to client situations where there could be some changes in the client environment that they're going through and therefore, there is a little bit of a delay in terms of the timing of the ramp-up or it could just be the nature of how it is going to play out, right? Because we will have -- it will take 6 quarters. That's what I earlier alluded to. So it is going to take that time. And we are hopeful that this will flow through in the coming quarters.
Kawaljeet Saluja: Noted. Thank you so much. All the best.
Aparna Iyer: Thank you. Thank you Kawal.
Operator: Thank you. Ladies and gentlemen, that was the last question for today. I would now like to hand the conference back to Mr. Abhishek Jain for closing comments. Over to you, sir.
Abhishek Jain: Yes. Thank you all for joining the call. Have a nice day. Thank you.
Operator: Thank you. Thank you, members of the management team. On behalf of Wipro Limited, that concludes this conference. Thank you for joining us, and you may now disconnect your lines.